Operator: Ladies and gentlemen, thank you for standing by. Welcome to Teck’s First Quarter 2015 Conference Call. [Operator Instructions] I would like to turn the meeting over to Mr. Greg Waller, Vice President, Investor Relations and Strategic Analysis. Please go ahead.
Gregory Waller: Thanks very much, operator, and good morning, everyone, and thanks for joining us for Teck’s first quarter 2015 results conference call. Before we begin, I’d like to draw your attention to the forward-looking information on Slide 2. This presentation contains forward-looking statements regarding our business. There are risks and uncertainties in our business that are more fully disclosed in EDGAR and SEDAR. The various risks and uncertainties may cause actual results to vary. Teck does not assume any obligation to update any forward-looking statement. With that, I’d like to turn the call over to Don Lindsay, our President and CEO.
Donald Lindsay: Thanks, Greg, and good morning, everyone. I’ll begin with a brief overview of our first quarter results, and then Ron Millos, our CFO, will provide additional color from a financial perspective. I will then follow-up with some comments on the dividend announcement earlier this morning and provide a few closing comments. And then we’ll have a Q&A session where Ron, myself and additional members of our senior management team who are both here and Vancouver and on the line would be happy to answer any questions. Our industry continues to face difficult markets. In general, the commodity price environment has been weak. In the first quarter, steelmaking coal prices fell further as the market continued to be oversupplied. Copper and zinc prices both dropped earlier in the quarter, then rebounded and average prices ended up being lower than in Q4. We are countering these conditions with our ongoing focus on cost management and on operational performance. Unit costs have declined and we’re also helped significantly by the strong US dollar and low oil prices. Overall, we’re in good position to weather these market conditions. All of our operations are generating positive cash flows after sustaining CapEx. We’re also maintaining a solid financial position with more than $5 billion in liquidity. Looking at the overview of our first quarter results on Slide 4, revenues of $2 billion were $60 million lower than the previous quarter, that is Q1, previous Q1, but overall profitability was only $1 million lower at $68 million. After removing unusual items, adjusted profit attributable to shareholders declined $41 million from the same period last year. This was driven, of course, by lower coal and lower copper prices, partially offset by higher zinc prices and the benefits of a stronger US dollar. Looking at some operational highlights from the quarter on Slide 5, our operations performed well. In coal, we set first quarter sales and production records; mined and refined zinc production were also higher overall. This includes production from Pend Oreille, which continues to move towards full production which we expect in the second quarter. Copper production was lower, which is consistent with our previous guidance, and while production was weaker in the first quarter, it should be stronger in the final quarter of the year. We also significantly reduced unit costs in both coal and copper. Turning to our business unit results starting with Steelmaking Coal on Slide 6, as I mentioned, we set first quarter sales and production records, both at 6.8 million tonnes and [indiscernible] both set new first quarter production records themselves. However, ongoing oversupplied market conditions indications that weakening demand in China continued to impact coal prices. On a Canadian dollar basis, our average realized price was down $15 per tonne to $128. The results of our cost reduction efforts are offsetting lower prices. We reduced coal site cost by $3 per tonne and transportation cost by $2 per tonne and costs have fallen even further in US dollar terms. We were able to maintain our gross profit before depreciation and amortization despite lower prices. And looking forward, coal prices for Q2 have been agreed with the majority of our customers based on a US$109.50 for the highest quality products, and we expect sales at or around 6 million tonnes. Turning to our base metals businesses starting with copper on Slide 7, revenues declined by 20%, sales volumes down by 12,000 tonnes and our average realized price down 18% in US dollar terms. Sales volumes were unusually low this quarter due to the timing of shipments and we expect to make this up over the next quarter or two. Copper production was also down overall, despite higher production at Highland Valley and this was primarily due to lower ore grades at Antamina and Quebrada Blanca and this is consistent with our expectations and we continue to expect full-year production of between 340,000 and 360,000 tonnes with the last half of the year being stronger than the first half. Our cost reduction efforts are producing significant results with total cash unit cost down by 6% on a US dollar basis, which again is in line with our guidance for a significant decline this year. Looking at our zinc business unit on Slide 8, I should first note that Antamina and Duck Pond's zinc-related results are reported in our copper business unit as zinc is considered to be a byproduct at both mines. And Duck Pond is scheduled to close at the end of Q2 this quarter. Overall, higher zinc prices and the benefits of a stronger US dollar are yielding higher profits, with gross profit before depreciation and amortization up by $58 million or 48% and this highlights the benefits of our diversified business model. Refined zinc production was up 13,000 tonnes with higher throughput at Trail, driven by improved operating efficiencies, including the new acid plant. As I mentioned, we expect to reach full production of 44,000 tonnes per year at Pend Oreille in Q2. And then on Slide 9, taking a brief look at our base metals markets, markets are currently volatile to any supply disruption, as overall stock levels are reasonably low. In copper, LME stocks have risen 160,000 tonnes on a year to date basis, after declining 189,000 tonnes last year. This is still low on a days of consumption basis at 10 days of consumption as compared with a long-term average of 12 days of consumption. We've already seen significant copper mines with supply disruption this year. In zinc, mine closures are expected to continue in the second half of the year and which is expected to accelerate the deficit. Reported stocks again are low at 17 days of consumption, and that compares to a long-term average of 22 days. And I would note that it now dropped below 500,000 tonnes just last week. Turning to Slide 10 and an update on Fort Hills. We are well into construction and the project is achieving key milestones. Engineering activities were over 75% complete at the end of Q1, including substantial completion of engineering for the ore preparation plant and the extraction and tailings area. In the photo on the right, you can see that primary separation cells and flotation columns in the extraction and tailings area. The workforce is currently around 3,000 people, and will continue to ramp up to a 2016 peak. And as aside, if you would like to see more photos of the Fort Hills project, they are available on our website. We did hold an Investor and Analyst Day in Toronto at the end of March and there are slides and videos of all of the presentations posted on the Investors section of the website if you missed it. We've provided an update on the Fort Hills project and on each of our business units and related markets. The Fort Hills partners are focused on capital discipline, working with our contractors to take advantage of the current economic environment. Our share of CapEx is $243 million in the quarter, leaving only $600 million to be funded over the remaining three quarters based on our guidance of $850 million for the full year. And in addition, our remaining earning commitments were fulfilled in early April, so that means that going forward our funding percentage will be reduced from the 27.5% down to 20%. Logistics solutions are starting to be put in place. We have contracted with Enbridge for pipeline capacity for diluent to Fort Hills and diluted bitumen to Hardisty. And in addition, Teck has contracted with Gibson Energy for construction and operation of 500,000 barrel diluted bitumen storage tank in Hardisty, which will be dedicated to us. On Slide 11, you can see the future location of our dedicated storage tank at the Gibson terminal in Hardisty. It gives the terminal a major pipeline hub with connections to multiple inbound and outbound pipelines and it also connects to a unit train loading facility and this gives us some multiple options for sale of our diluted bitumen to North American and overseas markets which we are currently advancing. I’ll now turn it over to Ron Millos to provide additional color on the quarter from a financial perspective.
Ronald Millos: Thanks, Don. I’ve summarized our changes in cash for the quarter on Slide 12. Our cash flow from operations was $372 million and I would note that within this, there was $120 million working capital build which we normally experience at this time of year due to seasonality of sales from Red Dog. We typically recover this working capital again in the last half of the year. We spent $371 million on capital projects, including Fort Hills, and as Don mentioned, our remaining earn-in was fully paid in April with go forward funding now at the 20% level. Capitalized stripping costs were $166 million in the quarter and we paid $177 million in interest payments and $15 million in principal on our debt for a total of $192 million. And we also paid $259 million in dividends. After these items, distributions to non-controlling interests, foreign exchange translation and other changes in working capital, we ended the quarter with cash and short-term investments of about $1.6 billion. And I should point out that due to the seasonality of Red Dog shipping season, our cash from operations is usually lowest during the first two quarters of the year and highest in the last quarter, although commodity prices and exchange rates can have a big effect on this trend. In addition, we have our semiannual interest payments to make on approximately $4.3 billion of our debt in the first quarter of the year. And as noted in our release, we expect to end the year with about $1 billion of cash and existing debt levels and that assumes if we meet our full year guidance for production volumes, cost, capital spending and assuming current commodity prices and exchange rates with no unusual transactions or events occurring in the balance of the year. Moving onto the next slide, our pricing adjustments for the first quarter are summarized on Slide 13. The lower prices resulted in $44 million of negative pricing adjustments this quarter, compared with negative pricing adjustments of about $63 million in the same period last year. Copper was down $0.13 per pound and zinc was down $0.05 per pound compared with Q4 2014, and these adjustments are included in our income statement under other operating income and expense. And again, as a reminder, refining and treatment charges and the Canadian US dollar exchange rate should be considered in your analysis of the impact of price changes in the adjustment and you should also consider taxes and royalties when analyzing the impact on net earnings. The chart on the right on this slide represents a simplified relationship between the change in copper and zinc prices and the reported settlement adjustment, and usually provides a reasonably good estimate of our pricing adjustments each quarter. In this quarter, the actual settlement adjustment was basically on the line. Turning to the balance sheet and liquidity on Slide 14, Teck is in a solid financial position with about $5 billion of liquidity at March 31. We currently have roughly $1.4 billion in cash and only US$300 million notes due later this year and then nothing until January 2017. Our revolving credit facility of US$3 billion also remains unused. And as a reminder, there are no financial covenants in our public debt indenture and just one financial covenant in our bank credit agreement which requires us to maintain a debt to debt plus equity ratio below 50%. At March 31, the ratio was 33%. Looking at our credit ratings on Slide 15, our current credit ratings are summarized in the table on the right and you may have noticed that Fitch downgraded our credit rating by one notch last week to BBB low, with an investment grade and they also provided us with a stable outlook. This was largely expected following similar moves by Standard & Poor’s in January and Moody’s in March. These changes seem to be well received by the market. Chart on the left shows that our 10-year bond spreads have tightened since the S&P rating change confirming our investment grade rating and importantly giving us the stable outlook. And as always, retaining our investment grade credit rating is important to us. And with that, I’ll turn the call back over to Don.
Donald Lindsay: Thanks, Ron. Before we close, I would like to address the change to our dividend announced this morning and I’m speaking to Slide 16. The board makes all decisions related to our dividend and it’s considered very carefully. They consider a number of factors including commodity price outlook and that would be for all of our key commodities and also our capital expenditure profile in the future. In general, our dividend policy is aimed at paying a sustainable dividend, commensurate with growth in earnings and cash flow. The graphs on the right side show the changes in the prices of our products and cash margins of our business units since the fourth quarter of 2012 when we last raised the dividend to $0.90 on an annualized basis. Overall, as you can see, prices are down substantially in US dollar terms and margins are down 25% or more. Our cash margins are all there to fund capital expenditures, debt, overhead and taxes. So commensurate with the decline in earnings and cash flow and in line with the aim of our dividend policy, the board has decided to reduce the dividend to $0.15 per share or $0.30 per share on an annualized basis. And we believe this is an appropriate level in light of current market conditions as it preserves flexibility in the funding of our capital program and importantly it helps to maintain the strength of our balance sheet. So to wrap up with a summary of our near-term priorities on Slide 17, we are continuing to focus on cost reductions and operating performance. At the same time, we are maintaining a strong financial position [indiscernible] of cash at the end of the year without any material change in our overall US dollar debt level. And with that, we'd be happy to answer your questions. I do want to note that some of our management team members are on the line in different locations, so there may be a brief pause after you ask your question as we sort out who will be answering it. Thank you and over to you, operator.
Operator: [Operator Instructions] Our first question is from Orest Wowkodaw from Scotiabank.
Orest Wowkodaw: I’m just having a clarification. In your disclosure about your target for cash balance at the end of the year of $1 billion, there is even a line that says in that assumption that you exclude any other currently implemented events, can you give us a description of what you are referring to in that statement?
Donald Lindsay: The dividend forecast based on results so far this year, Orest, and expectations for the balance of the year, the comment there is more that there’s no asset sales or other transactions or unusual events that might occur during the year that would affect that number. Sort of an all things being equal, that’s the way of putting it.
Operator: The following question is from Greg Barnes from TD Securities.
Greg Barnes: Don or Real, I wondered if you could comment on the change in tone on the coal market? We all know it’s weak, but I think this is the first time you’ve acknowledged that demand is weak, wondering what you are seeing particularly in China obviously?
Donald Lindsay: I think it’s a fair question. We have seen some change in tone in the last quarter. I’ll turn it over to Real.
Real Foley: I guess, first, when we look at forecast for the steel demand in 2015, WSA is still forecasting similar increase in demand as it did in 2014 around 2%. And demand continues to be good in markets outside of China. So there is no doubt that the market is oversupplied as we've seen with prices coming down during the quarter, price assessments have lost somewhere around $20 in the quarter. And as a result of that, a number of customers have delayed their purchasing decision. But coal stocks at steel mills has been relatively low, following the global financial crisis. So we're starting to see customers coming back to the market. So yes, demand is weaker in China, but it's also good in markets outside of China.
Greg Barnes: Can you quantify the weakness in China somehow?
Real Foley: It's difficult to say at this time, there's been changes, demand is actually lower, but it's a little bit uncertain at this point. The Chinese government introduced a number of measures aimed at producing the domestic producers and the outcome of all those measures are a little bit unclear. And so far, for February year to date, imports from the seaborne market in China were around 2 million tonnes lower than they were last year. But it's a little difficult. When we are talking to various parties in China, we hear that Q1 could be the lowest quarter of the year and then there could be slight recovery as we go forward in the remaining three quarters. But as I say at this point, it's a little bit uncertain.
Donald Lindsay: Greg, I might just add to that based on meetings with customers that I had personally three weeks ago. And if you look at the numbers that Real referenced, last year the seaborne imports to China were 48 million tonnes. If you looked at the first two months and annualized it, you'd get to 36 million tonnes for the year. However, our key customers, two of the five largest steel companies in China who I met with the senior people, they believe that the first two months were unusual and that there'd be more of a return to last year's rate in the balance of the year. So whether we end the year with a reduction as much as 12 million tonnes of imports in China or a much, much less than that, we don't know, we'll have to see how the year unfolds. But certainly it has been week so far. But the highlight what Real said as well, elsewhere we're seeing pretty strong demand.
Operator: The following question is from Harry Mateer from Barclays.
Harry Mateer: Ron, you noted your credit ratings during the presentation, although you have stable outlook, you're now at the lower stronger investment grade, so can you just talk a bit more about liquidity and other leverage you might be willing to pull to maintain the investment grade rating, given where spot prices are and with your leverage climbing as EBITDA slips?
Ronald Millos: The stable outlook usually barring some major changes is economic environment usually means we are relatively safer a year or so, but you never know how the rating agencies might change their view. Other levers that we have, we have some smaller assets that are on the books that serve on the back burner for potential development down the road, we could look to monetize those at some point in time, now is probably not the best environment to do that. We've talked about looking at streaming transactions in the past, but haven't moved on that. So those are couple of the major levers that we have to protect the rating.
Donald Lindsay: We should note that each of Moody's, S&P and Fitch have now given us a stable investment grade rating and that was with us paying the former dividend. Since then, with this cut in the dividend that makes available another $1.50 billion that wasn't in their model. So that's sort of the first point.
Harry Mateer: And then both of you have made some strong comments in the past about your commitments to the rating, I'm just wondering given the business environment you currently find yourselves in, has it changed at all and you mentioned some asset sales, are there any realistic options on table for raising external capital beyond those asset sales you mentioned or do you guys consider an equity raise or is that just not on your radar at this point?
Ronald Millos: That is absolutely not on our radar and we have stable investment grades and then we have another $1 billion already since then. So we are remaining committed to investment grade as we have said and I think we've taken appropriate steps.
Operator: The following question is from Ralph Profiti from Credit Suisse.
Ralph Profiti: My understanding is that the rail contract includes fuel price pass throughs. And so with those moving in your favor, do you include this in the impact of your sensitivity analysis and is the impact material now for year to date, this $36 a tonne in Q1 may be sustainable through the rest of the year?
Donald Lindsay: It is included in the sensitivity number that we gave, Ralph, and I'll let Ian speak to how it might affect the operating costs.
Ian Kilgour: Ralph, the run out costs have been obviously positively affected by the spot price, I guess how it affect us, I'd just say a particular routes that we use for the transport to our ports. And a greater proportion going to the Vancouver ports, it's made the cost to come down a little bit. So we expect the trend to be positive throughout the year.
Ralph Profiti: And Ron, if you can help me on some capitalized interests disclosure, which right now is running at above $50 million a quarter. How will that move in 2016 and 2017 in relation to spending at Fort Hills? Right now I have it at above 40% of total interest cost.
Ronald Millos: It's based on the spend on the particular project, Ralph. So it's been a gradual increase as more spending gets capitalized against those projects.
Operator: The following question is from Kerry Smith from Haywood Securities.
Kerry Smith: Ron, the first question I had was you gave us guidance on sustaining CapEx of $480 million for this year and you only spent about $66 million in Q1. I was just wondering how the rest of that, call it $420 million would get spent over the next three quarters, just even a rough percentage?
Ronald Millos: I don't have the nitty-gritty detail, but Q1 is usually a little bit on the lower side because you can't do a heck of a lot at Red Dog in the winter season. So its spend is heavily weighted to the July to October period. But yes, it's a little early to break down where we are ultimately going to end up the year there, Kerry.
Kerry Smith: We assume the bulk of it gets done in Q2, Q3, that would be...
Ronald Millos: Usually it's a little bit more in the summer just because of the weather issues.
Kerry Smith: And then Real, just on the coal weakening market in China, like last quarter you had pre-sold 6.2 million tonnes for Q1 and then you've sold 5.5 million for Q2 now, so that's down about 11%. Is that all a reflection of the weakness in China then? We assume China is 10% less demand, is that kind of a reasonable assumption and everything else is flat?
Real Foley: Not quite, Kerry. I guess we need to put this in perspective a bit. You're right, last quarter what we had priced at the time of guidance was 6.2 million tonnes, but if you go back to Q2 and Q3 of 2014, we also had 5.5 million tonnes priced at the time we provided guidance. So it's a reflection of what we have priced to date. Again I made a comment little bit earlier to Greg's question that with the price assessments coming down in Q1 quite a bit and quite fast more so than expected. Some customers were delaying purchasing decisions. So that's where we're seeing demand coming, we're seeing customers returning to the market.
Operator: The next question is from Lucas Pipes from Brean Capital.
Lucas Pipes: Real, not to beat to death here, but in terms of customers delaying purchasing decisions, are those your traditional customers, is this more from the Chinese market, I'm just surprised to hear that language.
Real Foley: Lucas, it's more around customers where we price sales on shorter than quarterly basis. So we have arrangements in place that contemplate volumes over the duration of the contract period. But it's not necessarily 100% precise as to when exactly the tonnage will be picked up. So it could be priced earlier in the quarter or in the middle of the quarter or later in the quarter, so that's all [indiscernible].
Lucas Pipes: But in terms of full year sales expectations at this point you would think it's too early to tweak that what gives you the confidence in the full year guidance figures?
Real Foley: Yes, it's a little bit early. As we explained earlier and as Don mentioned too, with the uncertainty in China, it's difficult to say what exactly will happen in that market. Outside of China, it seems to be continuing to grow at a stable rate and demand is actually quite good. So if you look at our sales in China, part of the overall sales book, so the ratio of our sales to China used to be around 30% at the peak, we started reducing sales to China in Q4 of 2013. 2014, we were down to around 25%. So we could see a smaller percentage of our total sales going to China for 2015.
Lucas Pipes: Maybe to shift gears for a second, Don, in the past you provided some color on M&A and how you think about the market both as a buyer and as a seller. How would you describe the opportunities out there today, what would you be looking at and what sort of size, what market would you be focused on and what size do you think could make sense in this environment?
Donald Lindsay: As I said in the past, we review all of the opportunities that you might read about, some for five or 10 minutes, some for five or 10 days, some in great detail with actual site visits. So most of what you've seen happened in the last year or two, probably all of what you've seen, we looked at it in some form and going forward that will be the same. That's our job. Andrew Golding and his team, that's what they do all day. In that context and more directly related to your question, we do have a long-term interest in copper. We do think this year and into next year that it's much weaker time. If you're a buyer, you'd rather buy when it's roughly closer to the bottom than to the top. And so we think we're in that situation with all of the key commodities. So we are actively looking, but truthly there's not a lot out there. The industry went through quite a phase of consolidation a while back and it takes long time for new production to come into place, just the permitting cycle and the rest is much, much longer than it was in years past. And then there is also quite a bit of competition in terms of private-sector money and also other mining companies that sometimes then are willing to use a long term commodity price significantly higher than where spot prices might be. So to the extent that you think you can get very good value because you are closer to the bottom of the cycle than the top may not necessarily be as easy as it looks given the competition. So we will keep looking, but as I said at our Investor Day a couple of weeks ago, we don't have anything in the very near term, but sometime some day we might.
Operator: The following question is from Oscar Cabrera from Bank of America Merrill Lynch.
Oscar Cabrera: I would potentially get back to your comments on coal and this is with regards to some of your clients waiting to get their shipments. Have you seen clients that are contracted on a quarterly basis changed to spot? And I believe I asked this same question last quarter and the expectation was for spot sales to be around 40%, has that changed?
Real Foley: So close to half of our sales are continuing to be priced on a quarterly basis. The exact percentage that is being priced on shorter than quarterly basis in 2014 was about 55%. So what that reflects, I mean, over the years, our ratio of sales priced on shorter than quarterly basis has increased and that's the trend that we've observed in the market generally. So to put it in perspective, in 2013, our ratio was about 40%. In 2012, it was above 30%. In pre-2012, it was somewhere between 15% and 25% depending on the year. So overall, that is our ratio right now, it's bit above 55% for 2014 and we're expecting it to be fairly similar for 2015.
Oscar Cabrera: Just in terms of some of the folks that are in the 50% quarterly contract, are there any of them that want to shift to spot market? Or have you observed any of that?
Real Foley: No, those contracts are in place as we speak and customers are continuing to take their tonnes according to the quarterly benchmark and we have schedules for the coming quarter, for Q2, that show that they will be lifting their tonnes on a ratable basis through the year. So the comment I made about some customers delaying purchasing decision was more around the ones that are priced on shorter than quarterly basis.
Oscar Cabrera: And then if I may, you talked about in the event that commodity price continue to be weak, you talked about different levers that had to do more with the capital structure. I wonder if you have considered anything else other than cost savings programs, i.e., closing of high cost operations in the event of weakening commodity prices?
Donald Lindsay: We do look at those kind of questions all the time depending on what the market conditions are. But at this stage, all of our operations are cash positive, sustaining capital. And then we are well aware of our competitors who do not have that situation and who are draining cash. And so at this point our decision is to not do that. We will continue to monitor the situation and then see if it's worth changing that position, but so far we're not.
Operator: The next question is from Karl Blunden from Goldman Sachs.
Karl Blunden: Just wanted to focus on the size of the different cut, is there anything you can share for us how that ultimate size was reached? Is it in relation to the $1 billion cash goal at the end of the year? Do you still want to possess some extra flexibility, do you think that's enough to maintain IT? Just wanted to understand your thought process behind that.
Donald Lindsay: We are on track to hit our $1 billion cash target at the end of the year before the dividend cut, so it wasn't really related to that at all. I think it was more of bringing both the dividend yield and the dividend payout ratios more in line with the rest of the market comparables and so on. And it's capital allocation decision, we got a lot of feedback from a lot of shareholders I've met with or talked to in some form, at least 150 institutions in the last three months or so. And most felt that this was the right thing to do to have that capital available, and when it was just straight balance sheet strength and the flexibility on future capital expenditures or whether it was other capital allocation opportunities, people thought it was the right thing to do and we weren't getting paid in our share price for it. So there's more of bringing things into alignment with the current commodity price environment.
Karl Blunden: You mentioned now that an equity raise would probably be off the table, does that comment suit then if you see an attractive asset, you also mentioned that assets at this point in time are starting to look more attractively priced potentially in copper. Is that something that you could look to fund with equity if you did see something out there?
Donald Lindsay: I was going to interrupt you part way through your question to take out the word probably, but I credit it was giving enough prices in there that I can do that. But the odds of us issuing equity for anything at this stage with these valuation levels are very, very low and certainly I would do everything possible not to issue equity. But if there was some transaction as to described that made sense, it was just powerfully accretive and that sort of thing than maybe you can never say never, but certainly my sense is not to.
Operator: The next question is from Garrett Nelson from BB&T Capital.
Garrett Nelson: As you noted, the zinc market has been tightening for a couple of years now, we're now below 500,000 tonnes in LME inventories and we're really starting to see the tightness reflected in the price. You've restarted Pend Oreille obviously, but do you have the ability to increase production at Red Dog or elsewhere? And do you think that acquisition of zinc producing assets might make sense if the opportunity presented itself or is that something you will need to look at right now because of the Fort Hills commitment and focus on cash preservation?
Donald Lindsay: Okay. So there are probably about three parts to that question. I'm going to save the last part, I'm going to ask Andrew Stonkus, our new Senior VP of Marketing to talk about the zinc market because it is unfolding exactly how he's been telling me for the last couple of years it's going to unfold. So I give him full credit and we are very excited about it. But on to first our ability to expand zinc production in the short to medium term, the answer is basically no, that we can bring Pend Oreille on fairly quickly, and we have tremendous resources and resource potential in Alaska, but it's the kind of thing that would take several years, not sure how many years, but Rob Scott is here with me, but five plus to bring on anything material. And by the way, we think we have very good zinc business, one of the highest quality zinc business in the world, if not the highest in terms of our zinc units come from Red Dog and Antamina is primarily two of the best mines in the world. And then our zinc smelter and refining complex in Trail has very low cost clean energy and doing very well. So we don't think we have to be that much bigger and dilute the quality by doing that. In terms of buying zinc production capacity out there, we look at that all the time just as I described with all the opportunities. And we don't say no, we won't buy something at zinc, but the diversified strategy that we have, basically the main purpose is to give us the flexibility to allocate our capital to the best risk reward ratio and if that is in zinc, then that's what we will do. But what we found is we looked at the zinc opportunities as the risk part of that risk reward ratio in terms of the quality of the asset is generally higher than we like. But we'll keep looking there too, but it's unlikely. Now, the really more interesting part of the answer to your question, Andrew Stonkus?
Andrew Stonkus: Thanks, Don. The markets are evolving as we were expecting and forecasting. It comes down to the supply situation from the mining side. To date, [indiscernible] already forecasted a deficit of around 7,000 tonnes of contained zinc deficit already year-to-date. But we are going to be seeing the significant mine closures as we’ve been talking about coming on in the second half of this year. So when these significant mine closures be it Century which is the first one and then the Irish mine Lisheen come to the end of their life, that’s going to have a significant impact on the supply side of the concentrate for the global market. Chinese imports of concentrates are as well up so far this year, both over 20%. So the demand for concentrates is very strong that the supply side is going to be constrained and that’s being reflected on the metals side, we see the draw downs on the inventories now below 490,000 tonnes. So it’s down significantly, they continue to be drawing down and our entry into the marketplace. So once those LME inventories are drawn down further, we’re going to be constrained on the metals side as well. So mine supply is going to be constrained and metals being pulled on in the warehouses. So it’s a matter of going down the path of constrained supply and demand is fairly robust and you look out to be organized production and China specifically is increasing significantly and as value added products start being produced. So demand side is also helping the consumption of metals going forward. So it’s all aligning up consumption of metals and supply of concentrates will be constrained.
Garrett Nelson: And then could you just clarify the Fort Hills CapEx numbers. In the press release, it says there is $2 billion of remaining CapEx as of the end of March, but I think the annual report filed in early March said there was about $1.8 billion left to be spent. I know you’ve been warning that capital cost could change because of the US dollar strengthening in the portion of Fort Hills CapEx denominated in US dollars. Is that the discrepancy?
Donald Lindsay: So we’ve got three people looking to answer. Ron, I hope you start and then it’s Real or Tim may want to comment.
Ronald Millos: Sure. When the project was sanctioned, it was roughly $2.9 billion to spend our share. We spent $60 million of that in 2013, $616 million of that in 2014, and then $243 million so far in 2015. Take that off the $2.9 billion, it’s $2 billion left to go.
Donald Lindsay: And Garrett just to be clear, the original $2.9 billion capital estimate, that was a Canadian dollar number, including escalation.
Operator: The next question is from Jeremy Sussman from Clarkson Capital.
Jeremy Sussman: The 6 million tonnes figure for Q2 on the coal front, just to go back, if we don’t see any improvement in the market, is that a good run rate to be using? And I guess the follow up would be either way, when we look at Q2, if 6 million tonnes is in fact the number, should we do anything on the cost side one way or the other given the fixed cost nature of coal mining from time to time?
Donald Lindsay: So we’re going to turn that to Ian.
Ian Kilgour: Obviously, we’re hoping to be able to do better than that 6 million tonnes and as Real said, some customers are returning to the market, but of course we continue to vigorously assess our operations in every aspect to continue cost reduction. We’re seeing cost continue to reduce, our quarter one coal costs were lower than last year’s quarter one and with continued effort right across the spectrum from commodity purchasing to some reducing contact usage, tough productivity, efficiency, we expect to take pricing in – focusing on those cost reductions and mitigating the pressure on the margins.
Operator: The following question is from David Wang from Morningstar.
David Wang: I just wondered if you can add some color on to future copper production, for instance, on the QB2 project, is it still something that we are looking at more of a down the road after Fort Hills? And what you think about the aggregate copper production in later years?
Donald Lindsay: The current schedule is that the earliest we could sanction QB2 and start the major capital expenditure would be the February board meeting of 2017. So Fort Hills would be just about finished. I think we’re about 25 months away from the end of construction in Fort Hills. And there would be a wrap up time for QB2. Having said that, we are doing everything we can to work with the Chilean government regulatory authorities to improve that schedule, but we don’t know and won’t to until it is done, that’s sort of the nature at least. I just want to comment on the buying activity in coal to sort of try and put some more context and Real made different comments of seeing customers come back to the markets. If you’re a buyer, you don’t necessarily have a mandate where you have to buy equal tonnage every week throughout the year. Your job is to optimize pricing and other factors as well. And so if you have the view that prices are declining as we’ve seen in the last four weeks, it would not be unusual, in fact it would be normal to hold back and try buy things a little more cheaply later. That of course would happen on the way up as to reverse if you have drawn down your inventory as well you were holding back, if all of a sudden you see the tone change, then you go move in and try and buy while the prices are low, you don’t want to get caught having to buy later at a much higher price. And then your tactic of spilling down purchases will kind of backfire. And so this is one of the reasons why you see the volatility in pricing, it gets some pretty large moves sometimes, as if people all take the same view and remember it’s a fairly concentrate market, there aren’t thousands of buyers out there, there’s only so many around the world. They all take the same view, they all run down their inventories, and then something occurs that changes the tone, they will all kind of do the same thing and have to buy the cargos that they didn’t buy for a couple of years. So we are waiting to see whether that’s what’s occurring in the market in terms of people who have slowed down purchases, which we’ve seen many, many, many times over the years or if there’s some complete structural shift in demand. Elsewhere in the world, we are seeing good demand, so we’re not seeing any structural shift there. Meanwhile, we’ve also seen in China the government has taken a serious step in terms of its reserve ratios to stimulate the economy and that kind of things does flow into construction and home purchases and the rest. So all of those things could have an effect. So we just got to wait and watch and see what happens over the next couple of months before we make any particular decision in that business going forward.
Operator: The following question is from Brian Murphy from Legal and General Investments.
Brian Murphy: Just a couple of questions. The first one in terms of 2015, spot prices remain where they are right now and given your capital expenditures that you are anticipating for 2016, I should say, are you anticipating a free cash flow neutral 2016?
Ronald Millos: With the capital spending program in place, we will be drawing down cash in 2016.
Brian Murphy: So what’s your comfortable level in terms of your cash balance, so you’d be willing to run that down to?
Ronald Millos: We think we could take it down to the $350 million to $400 million level, that sort of gives us the cash to manage the business on a day-to-day basis. And of course we have the line of credit available to us as well.
Brian Murphy: So basically just kind of lay the cash balance at the spot price and your CapEx program, meanwhile your leverage is increasing certainly to levels that potentially little bit more concerning from an investment grade standpoint, yet I guess from an equity standpoint, you said that equity raise isn’t even on the radar, it seems to me that might be a little bit more dogmatic, I’m just trying to get a little sense about how you are thinking about the balance sheet from here?
Ronald Millos: We just had three rating agencies go through things in great detail and give us a stable investment grade rating. And on top of that we’ve just reduced the dividend that frees up another $1 billion between now and when cash flow starts at Fort Hills. So those are significant steps.
Operator: The following question is from Brian McArthur from UBS.
Brian McArthur: I just want to follow up, I think the Antamina revolving facility gets paid back this month, does that free up any cash in inert of that operation at a corporate level or does it make any difference whatsoever?
Ronald Millos: That doesn’t make any difference, Brian, and probably will redo that facility. Our share of that is $22 million.
Operator: The next question is from Jorge Beristain from Deutsche Bank.
Jorge Beristain: I guess my question is on Fort Hills, you mentioned earlier when it’s cash flowing, can you describe the mechanism as to how that cash would flow back to Teck, would it be in the form of dividends, would you be partially consolidating the EBITDA of that business, just talk about how Fort Hills would impact your financials in the future?
Ronald Millos: It likely will be accounted for a proportion of consolidation basis and then the cash, we just pick up our share of the cash flow, be similar in structure of how Antamina works.
Donald Lindsay: We actually take our product at times, so it’s similar to other like Antamina.
Jorge Beristain: And would there be any proportional consolidation as well of the balance sheet, particularly net debt balance?
Ronald Millos: Yeah, proportionate consolidation throughout the entire financial statements.
Jorge Beristain: Do you have a target net debt that that asset would have at start up?
Ronald Millos: It won’t have any debt. The debt is any debt that is on the partner’s book. So we just get cash for our share of the spending at Fort Hills.
Jorge Beristain: And in terms of your debt that’s due 2016, I think you put in a slide that you’ve got about $300 million, is the intent just to roll that over?
Ronald Millos: That would be the intention at this stage. As our debt matures, we would roll them over.
Operator: We have no further questions registered. I’d like to turn the meeting back over to Mr. Lindsay. Please go ahead, sir.
Donald Lindsay: Okay. Well, thank you for your time today and we look forward to doing it all again a quarter from now. Thanks very much.
Operator: Thank you. The conference call has now ended. Please disconnect your lines at this time. Thank you for your participation.